Sylvia: Thank you for standing by. My name is Sylvia, and I will be your conference operator today. At this time, I would like to welcome everyone to the First Internet Bancorp Earnings Conference Call for the Fourth Quarter and Full Year 2025. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question and answer session. Please note that this event is being recorded. It is now my pleasure to turn the call over to Julia Ferrara from ICR. You may begin your conference.
Julia Ferrara: Thank you, operator. Hello, everyone, and thank you for joining us to discuss First Internet Bancorp's Fourth Quarter and Full Year 2025 Financial Results. The company issued its earnings press release earlier this afternoon and it is available on the Citi website at www.firstinternetbancorp.com. In addition, the company has included a slide presentation that you can refer to during the call. You can also access these slides on the website. Joining us from the management team today are chairman and CEO, David Becker, president and COO, Nicole Lorch, and executive vice president and CFO, Ken Lovik. David and Nicole will provide an overview, and Ken will discuss financial results. And then we'll open up the call for your questions. Before we begin, I'd like to remind you that this conference call contains forward-looking statements with respect to the future performance and financial condition of First Internet Bancorp that involves risks and uncertainties. Various factors could cause actual results to be materially different from any future results expressed or implied by such forward-looking statements. These factors are discussed in the company's SEC filings, which are available on the company's website. The company disclaims any obligation to update any forward-looking statements made during the call. Additionally, management may refer to non-GAAP measures, which are intended to supplement and not substitute for the most directly comparable GAAP measures. The press release available on the website contains the financial and other quantitative information to be discussed today as well as the reconciliation of the GAAP to non-GAAP measures. At this time, I'd like to turn the call over to David.
David Becker: Thank you, Julia. Good afternoon, and thank you for joining us on the call today. We are pleased to close 2025 with strong fourth quarter results that demonstrate the power of our differentiated digital banking model. Our core business fundamentals remain robust with quarterly revenue up 21% over the prior year period. Our digital-first approach and disciplined expense management enabled us to navigate challenging credit issues related to two of our loan portfolios, while capitalizing on opportunities across our diverse business lines. Before I provide an update on credit, which I know is top of mind for the investment community, I would like to briefly touch on 2025 key accomplishments. We delivered strong results for the year, including 30% net interest income growth year over year, consistent expansion of net interest margin throughout 2025, and actively managed expenses to drive improved operational efficiency. We successfully completed the strategic sale of approximately $850 million in single tenant lease financing loans to Blackstone, strengthened our capital position, enhanced our rate risk profile, and accelerated our progress towards achieving a 1% return on average asset. This transaction reduced our exposure to lower-yielding fixed rate and provided significant balance sheet flexibility. Our banking as a service initiatives achieved remarkable growth, generating over $1.3 billion in new deposits for 2025, more than tripling the amount from the prior year. We also processed over $165 billion in payments volume, an increase of over 225% from 2024. Maintained strong deposit relationships that enhanced our funding flexibility. These partnerships have evolved to become true strategic revenue drivers through recurring transaction fees, program management fees, and interest income. In our SBA business, despite industry challenges, including a government shutdown, we maintain our position as a top 10 SBA 7(a) lender with nearly $580 million in funded originations during 2025. Our enhanced underwriting standards and improved servicing capabilities strengthened our competitive position while we navigated temporary process improvements required by evolving SBA guidelines. Additionally, we expanded and strengthened our SBA leadership team to drive long-term business growth. We promoted David Beige to senior vice president government guaranteed lending to oversee all aspects of our SBA operations. Also added talent and depth to our credit underwriting and portfolio management teams. We maintain solid capital discipline while returning $7 million to shareholders through dividends and share repurchases, demonstrating our commitment to balanced capital allocation. During the quarter, we executed our share buyback program by purchasing 27,998 shares at an average price of $18.64 per share, capitalizing on temporary market dislocation. Turning to credit, I want to address the credit challenges and the proactive measures we have taken to remedy the two problem loan areas, primarily our small business lending and franchise finance portfolio. As such, I want to emphasize several critical points. First, I want to reiterate our credit issues are isolated to two specific portfolios, SBA and franchise finance. The remainder of our lending verticals maintain solid credit quality with our overall level in nonperforming loans in line with peer institutions. Second, our enhanced risk management processes and prudent underwriting standards are yielding positive results. In addition, we've implemented advanced analytics that provide deep portfolio intelligence, enabling proactive borrower engagement. Third, after further evaluation of the problem loans, we are guiding to a higher provision for 2026 than we initially estimated. This is designed to clean up our remaining problem portfolios and position us for improved performance going forward. We expect credit to improve gradually in the second half of the year as the problem loans come to resolutions and are replaced with higher quality loans. Fourth, we have solid capital and liquidity positions to weather any credit-related challenges. Our regulatory capital ratios remain well above minimum requirements, with a total capital ratio of 12.44% and a common equity tier one ratio of 8.93% as well as substantial liquidity coverage. Most importantly, we believe credit will stabilize as we progress through 2026 as problem loans are resolved and enhanced underwriting standards take effect with new Despite the isolated credit issues related to two portfolios, our core revenue engine remains robust with multiple growth drivers. We have strong loan and deposit pipelines across our commercial lending verticals and vast partner partnerships. Net interest margin continues as we benefit from higher loan yields and declining deposit costs. Our technology investments, including AI-powered origination, underwriting support, and customer support having greater efficiency while maintaining conservative credit management practices. Looking ahead, our digital-first model positions us advantageously for continued growth. Our interest rate neutral balance sheet structure, disciplined loan pricing, and diversified revenue streams provide multiple growth vectors over the long term. We expect continued net interest margin expansion, robust fintech partnership growth, credit stabilization, and the benefits of our strategic balance sheet to drive improved profitability. We remain confident in our ability to deliver strong financial performance while building long-term shareholder value through disciplined execution of our strategic priority. I'll now turn it over to Nicole for operational highlights, including SBA, BAT, and credit.
Nicole Lorch: Thank you, David. Despite the longest federal government shutdown in history, we've successfully netted $8.6 million in secondary market sales for SBA loans through November and December, demonstrating the resilience of our operations and market position. Looking ahead to 2026, we are strategically realigning our SBA production with our enhanced and more stringent underwriting guidelines. This deliberate shift prioritizes credit quality over volume, positioning us for sustainable long-term performance. As a result, we anticipate production of approximately $500 million for the year, a more measured approach that reflects our commitment to prudent risk management. Given our focus on attracting higher credit quality borrowers, we expect to offer more competitive rates, which will naturally lead us to retain a larger portion of our production on balance sheet in 2026. As a result, we estimate gain on sale revenue in the range of $19 million to $20 million compared to $29.4 million in 2025. While this represents a decrease in fee income, it will generate a positive impact on net interest income and prove accretive to our net interest margin. Our BaaS platform continues to demonstrate growth and diversification. As a sponsor bank, we support deposit program, payment processing, including card, ACH, and real-time payments, and lending programs across our fintech partner network. Importantly, none of our partners depend on card interchange as their sole or primary revenue source, which provides stability and allows us to scale our partnership model as our balance sheet grows. Demand for our sponsorship and program oversight capabilities remains robust. We are fielding interest from potential partners with use cases for real-time payments, which we support through both the RTP network and FedNow, where we served as a pilot institution. First Internet Bank is committed to standing at the forefront of payment innovation, but we also excel at good old ACH. I'm pleased to note that First Internet Bank was a co-winner of the award for payments innovation of the year from American Banker for our work with INCREASE to deliver high fidelity ACH, a tech solution that brings greater reliability to ACH transactions. Our payment processing volumes continue to reach impressive scale. We facilitated $65 billion in payments for our fintech partners in the fourth quarter, which was up over 40% from volumes processed in the third quarter. As of 12/31/2025, we maintained almost $2 billion in deposits with a significant portion strategically positioned off balance sheet where we earn attractive spreads reported as noninterest income. Turning to credit performance, as David mentioned, our overall loan book remains strong and continues to perform in line with industry trends. Regarding our franchise and SBA portfolios, we took decisive action throughout 2025 to address credit issues, including tightening and refining underwriting standards, implementing streamlined processes for earlier problem loan detection, and improving collection processes. Our franchise finance portfolio continues to show noticeable progress due to several strategic factors. We ceased purchasing loans in this space, allowing the portfolio to naturally decrease in size, and the remaining borrowers tend to be stronger, multiunit operators with greater operational experience and financial resources. Our collection efforts are further supported by Pie Capital serving as an intermediary and providing valuable brand support. For our SBA loan, credit remains challenging, but with an encouraging outlook in 2026. Our SBA lending has been primarily in the area of business acquisition, which has elevated levels of transition risk as new owners take over. Our internal analysis, which is supported by external data and analytics as well, suggests there may be more pain to come as we work through loans originated in late 2024 and early 2025 under previous guidelines. I would like to give a special mention to our special asset team that worked diligently on the franchise finance and SBA portfolios throughout 2025. They have done an outstanding job staying on top of our workouts, offering alternatives when possible, and they have had some pleasant surprises for us on a handful of loans where recoveries in the fourth quarter and into January came in higher than expected. We have significantly strengthened our organizational capabilities throughout 2025 to enhance our operational depth and customer reach. Beyond personnel, we have refined our credit guidelines to better identify transaction risk, and we've strengthened our processes to improve both credit quality and the borrower experience. Most notably, we are implementing an AI-driven solution to standardize our document collection process, reduce origination times, and create a more seamless experience for our clients. Our investments in portfolio predictive analytics represent a transformational advancement in our risk management capabilities. This technology enables us to identify potential issues earlier in the credit life cycle and take proactive measures to protect our portfolio quality. This comprehensive approach to credit management, operational excellence, and strategic partnership development positions us exceptionally well for continued success and sustainable long-term growth. I will now turn it over to Ken for additional insight into our fourth quarter performance and 2026 outlook.
Ken Lovik: Thanks, Nicole. We delivered solid fourth quarter results with net income of $5.3 million or $0.60 per diluted share. Our results for the quarter included a pretax loss of $400,000 on the sale of an additional $14.3 million of single tenant lease financing loans to fulfill our commitment related to the large sale in the third quarter. Excluding the impact of the loan sale, adjusted net income was $5.6 million and adjusted earnings per share was $0.64. Adjusted total revenue for the quarter was $42.1 million, a 21% increase over 2024, and when combined with well-managed expenses, adjusted pre-provision net revenue totaled $17.9 million, up 66% year over year. These results reflect strong operational execution and sustained business momentum across our core segments. Net interest income for the fourth quarter was $30.3 million or $31.5 million on a fully taxable equivalent basis, up about 29% year over year, respectively. Net interest margin improved to 2.22% or 2.3% on a fully taxable equivalent basis, both up 18 basis points from the prior quarter and 55 basis points year over year. The yield on average interest-earning assets for the quarter rose to 5.71% from 5.52% in the prior year period, driven primarily by a 46 basis point increase in loan yields as higher rates on new originations more than offset the impact of three Federal Reserve rate cuts during 2025. We also saw a meaningful decline in funding costs during the same period, with the cost of interest-bearing deposits falling to 3.68% from 4.3% in the prior year period. The rising yields on interest-earning assets in conjunction with declining cost of interest-bearing deposits demonstrate delivery on our years-long effort to reposition the balance sheet and optimize our mix of earning assets. Adjusted noninterest income for the quarter totaled $11.8 million, down from the prior quarter due to the large volume of SBA loan sales in the third quarter and up from $11.2 million in the prior year period. As Nicole mentioned in her comments, gain on sale revenue from SBA loan sales remained solid during the quarter and was supplemented by higher net loan servicing revenue as we began servicing the portfolio we sold to Blackstone. Additionally, fee revenue from our fintech partnerships increased during the quarter, continuing a trend of quarterly growth throughout the year. Noninterest expense for the quarter totaled $24.2 million compared to $24 million in the prior year period. The slight increase over the prior year period was due primarily to continued investment in tech and AI to enhance both front and back office operations and costs related to working out problem loans, offset by lower incentive compensation. Turning to credit, in the fourth quarter, we recognized a provision for credit losses of $12 million, which consisted primarily of $16 million of net charge-offs partially offset by a net decrease in specific reserves as $3.5 million of loans charged off during the quarter had existing reserves. Nonperforming loans increased to $58.5 million in the fourth quarter, and the ratio of nonperforming loans to total loans was 1.56%, compared to 1.48% in the linked quarter. However, the increase in nonperformers consisted almost entirely of SBA guaranteed balances and fully collateralized SBA unguaranteed balances. Excluding guaranteed balances, the ratio of nonperforming loans to total loans was 1.2%. At quarter end, the allowance for credit losses was 1.49% of total loans. Excluding the public finance portfolio, the ACL to total loans increased to 1.67%. Additionally, the small business lending ACL to unguaranteed balances was 7.34%. Total loans as of 12/31/2025 were $3.7 billion, an increase of $143 million or 4% compared to the linked quarter and a decrease of $424 million or 10% compared to 12/31/2024. The increase over the linked quarter reflects strong origination and funding activity in single tenant lease financing, construction, and small business, partially offset by lower public finance and franchise finance balances. The decline from the prior year period was driven by the large single tenant lease financing loan sale offset by strong growth in construction, commercial and industrial, and small business lending. Total deposits as of 12/31/2025 were $4.8 billion, representing decreases of $76 million or 2% and $93 million or 2% compared to 09/30/2025 and 12/31/2024, respectively. As David mentioned earlier, we experienced tremendous growth in fintech deposits throughout 2025, allowing higher cost CDs and broker deposits to mature. Furthermore, the ability to move fintech deposits off balance sheet enhanced our ability to manage the size of the balance sheet following the large loan sale in 2025. Now turning to our full year 2026 outlook, we expect continued loan growth in the range of 15% to 17% driven by strong pipelines across our commercial lending verticals as well as a lower base coming off the balance sheet repositioning trade in the third quarter. Net interest margin expansion should continue, reaching 2.75% to 2.8% by 2026 as we benefit from ongoing deposit repricing and optimized asset mix. We anticipate fully taxable equivalent net interest income of $155 million to $160 million for the full year. Noninterest income is projected at $33 million to $35 million, reflecting lower SBA originations as well as lower gain on sale revenue as we retain a greater amount of guaranteed balances but partially offset by continued BaaS growth and increased loan servicing revenue. Operating expenses are projected at $111 million to $112 million, representing controlled growth that includes continued investment in tech and AI to support our revenue risk management initiatives while maintaining operational efficiency. With regard to the provision for credit losses, as David mentioned earlier, we are guiding to a higher provision to capture net charge-offs and additional reserves related to problem loans, and estimate $50 million to $53 million for the full year, which should moderate as we progress through 2026 and problem loans are resolved. We expect provision for the first half of the year to remain elevated with first quarter provision expected in the range of $17 million to $19 million and second quarter provision in the range of $14 million to $16 million. We expect the provision to improve in the second half of the year. This guidance translates to earnings per share of $2.35 to $2.45 with a midpoint of approximately $2.40 per share. 2025 was a year of disciplined execution and strategic investments in people, process, and technology setting us up for much stronger financial performance in 2026, particularly in the second half of the year. As shareholders ourselves, we remain laser-focused on building long-term shareholder value. With that, I'll turn it back to the operator for questions.
Sylvia: Thank you. Ladies and gentlemen, we will now begin the question and answer session. Should you have a question, please press the star followed by the one on your touch tone phone. You will hear a pop that your hand has been raised. Should you wish to decline from the polling process, please press the star followed by the two. If you are using a speaker phone, please lift the handset before pressing any keys. One moment please for your first question. Your first question comes from Brett Rabatin from Healthy Group. Please go ahead.
Brett Rabatin: And I might need a little bit of help walking through some of the variables. The two key ones might be just on SBA. You know, how much of that will you have on the balance sheet do you think maybe an average or, you know, how you see that progressing throughout the year and at what yield that would positively impact that 6.39 loan yield in the fourth quarter? And then secondly, on the funding side, I know you've got about $2.4 billion of CDs that cost $4.19. In the fourth quarter. Know we've talked in the past about what's repricing. I might need an update on repricing opportunities on the first half of year, particularly on the CD side. Thanks.
Ken Lovik: Sorry, Brett. We didn't catch the very first part of your comments.
Brett Rabatin: Okay. Sounds like you're about NII and net interest margin.
Ken Lovik: Yes. Correct. Sorry. It's might have a bad connection here. But, yeah, I'm just trying to Ken, trying to get a better understanding of the NII guidance. And just wanted to understand on the SBA side, how much of that goes on the balance sheet and at what yield throughout the year. And then just trying to make sure I understand the repricing opportunities on the funding side of the equation.
Ken Lovik: Yes. Well, I'll start with the funding side of the equation first because a lot of that is, to be honest with you, somewhat mechanical. We do expect to see continued decrease in deposit costs throughout the year. Now we'll probably see a larger on a quarterly basis, a larger impact in the first quarter. Because we will reap the benefits of, you know, two rate cuts in the fourth quarter. That will kind of play their way through, and we'll have full run rate on Fed funds types, Fed funds index deposits, other money markets that go down with a, you know, a decent beta on rates. And obviously, we bring down our CD rates as well. And just as a reminder, we're not forecasting any rate cuts in our forecast for next year. But we do expect to see deposit costs go down. Again, like I said, more in the biggest quarterly basis will be in the first quarter. Just kind of as an indication of that, and I'll give you some ideas on some CD repricing. But, you know, our fintech deposits far as, like, repricing so for example, on December 31, the spot rate on our on balance sheet fintech deposits was 3.52%. Today, the spot rate is 3.35%. So there's nice, you know, nice, a nice drop there. In terms of just looking at CD maturities, we got about $850 million of CDs maturing over the six months. With a weighted average cost of 4.15%. The current weighted average cost of CDs coming in the door today is 3.65%, you know? So that's, you know, that's a pickup of 50 basis points there. And even if we push that out to deposit CDs that mature over the next twelve months, that's almost $1.4 billion, and the weighted average cost on that is 4.11%. So, again, almost a 50 basis point pickup on those. So just by virtue of CDs rolling off the balance sheet and either being replaced by fintech or, you know, being renewed or new CD production, there's a nice pickup there on CD costs. On the lending side, you know, it's kinda continuing to do what we have been doing here for the past year. I mean, new loan production, you know, new loan rates that new new new origination rates in the fourth quarter were about 6.85%, getting close to seven. We're just which is above the portfolio yield as a whole. So when we think about what we where we expect to see growth over the next coming year, we're you know, we do expect to see our kind of our combination of construction and investor commercial real estate continue to grow. We expect growth in C and I lending as well. We've had success in some of these some of these kind of we'll call them, emerging verticals that we've started to get into with wealth advisory lending, equipment finance is doing well, and these are all yields kind of in the high sixes to low sevens on that. And then, again, with SBA, with our intention to retain a greater percentage of our guaranteed originations we expect, you know, that we'll be holding an additional almost $94 million of those on the day on the on the balance sheet, kind of priced it, you know, call it prime plus one and a half. So, yeah, all of the the the lending verticals that were rigid, you know, all the new yields coming on the balance sheet are just obviously higher than what the current yield is in the portfolio today. So it's really just kind of a continuation of what we've been doing over the last, you know, twelve to eighteen months.
Brett Rabatin: Okay. I wanted to you know, there's a there's a lot of questions embedded in the credit stuff, but wanted to see if you had an updated number for criticized loans. I think believe, there were a $139 million. Last quarter. Just wanted to see what those did, particularly in the SBA bucket. And the franchise finance bucket. And then it sounds like the issue is you're kind of expecting some more business acquisition oriented SBA credits to maybe migrate and just wanted to see if there was any commonality you know, time in business or anything else that, you know, you seem to be hitting on that is impacting that piece of the portfolio?
Ken Lovik: Yeah. The total criticized loans probably increased about call it, $16 million or so. So that was up, call it, 10, 11%. Yeah. I would say it's probably, you know, the it's probably a a a mix predominantly, SBA in there, there's probably some in franchise. And obviously, keep in mind that these are loans that these aren't necessarily substandard loans. These are loans just may have been downgraded from a six to a seven. That are still performing. We continue you know, we're we're actively monitoring loans in that bucket and working with borrowers on that. Kind of on we did see some in the franchise excuse me, well, in both, in franchise and in SBA roll off as we charged off some loans as well. But, yeah, we saw a a little bit of an uptick. Most of it, though, was in special mention category, not substandard. Yeah, that's a question. If we are seeing some commonality into issues about the only thing we've got, Brett, is on the SBA portfolio in that twelve to eighteen month window. Is kinda where if they're gonna run into a problem, they run into it. It's kinda getting through that first year of business. You're in closeout and stuff that so we got very aggressive during the fourth quarter calling people think we reached out. Nicole can probably hundred borrowers. We've talked over 400 borrowers that are currently okay. And just did a touch base to see, hey. You know, how's the year end shaping up for you any we can do. Trying to get a little bit ahead of the game. But as as we've said time and time again, there is no given vertical, no given business type that's getting into trouble, but if there's any commonality to them, they seem to hit in that twelve to eighteen month window is when they kinda hit the wall or start to go south. So we're trying to get ahead of that and stay on a proactive with them before they get to that window. So in some cases, it's just a matter of a shortfall of some cash. They get pretty frustrated, and they wanna get out. So we can know, help them make a payroll or something to keep things afloat. We're very much on a positive play with them at the current time.
Brett Rabatin: Okay. I appreciate the color. Thanks, guys.
Ken Lovik: Thank you.
Sylvia: Your second question comes from Nathan Race from Piper Sandler. Please go ahead.
Nathan Race: Yes. Hi, everyone. Good afternoon. Thanks for taking the questions.
Ken Lovik: Hi, Nate. I was curious.
Nathan Race: Curious if there are any interest reversals that impacted the margin in the fourth quarter? And just given the credit cost outlook for this year, which is really helpful. So you for that. Just curious if that contemplates any additional interest reversals just as you continue to work through VSBA credit quality factors.
Ken Lovik: Yeah. We we do we do model in, you know, interest reversals into our assumptions. On net interest income as part of our forecast. With some of the, you know, the the migrate you know, some of the the net charge offs, we probably had don't know, maybe three to 400,000 of probably interest reversals there. Which is, you know, I call that three to five basis points or so, probably consistent with what we've seen in prior quarters.
Nathan Race: Okay. So that kind of explains the NII margin shortfall relative to the guidance from last quarter.
Ken Lovik: Yeah. That's that's a little bit of it. And and some of it too, if if you know, we probably following the, you know, following the the the large single tenant transaction, we're able to move deposits off the balance sheet. But sometimes, the fintech deposits can be a little bit volatile. So we probably carried higher cash balances. Average cash balances throughout the quarter. That certainly probably impacted the margin a few basis points as well.
Nathan Race: Understood. That's helpful. And then Ken or Nicole or Dick I'm trying to understand kinda what's the embedded net charge off expectations relative to the provision guide for this year of 53 to I'm sorry. 50 to 53 million. I I Sorry. We have to
Ken Lovik: Yeah. I mean, I I understand the provision guidance and but I'm also trying to how much more you need to provide you know, relative to charge offs just given that you're expecting GROW loans 15 to 17% this year?
Ken Lovik: Yeah. No. There's yeah. There there's I would say, of that, you know, probably you know, half or so are are going to be assumptions on charge offs and specific reserves, probably half charge offs half charge offs and and some additional specific reserves above that. I mean, we kinda do, you know, as we you know, Nikola talked about in her comments. Right? And, David, we have a number of different methodologies we use to kind of try to target what we think. Potential losses may be from a forecasting perspective. And I think we you know, our our bias on on this quarter and and looking forward into '26 was to, you know, let's let's go with the highest you know, the the higher estimate of the different methodologies we look at. But, yeah, I think that's to the point that we talk about in terms of the provision. Like, we expect to hit the bulk of that will be reflected in the first and the second quarter. And our expectations are, as sit here today is that as we get into the third and the fourth quarter, the provisions will move more in line kinda with what the perhaps even a little bit lower near the end of the year, but in in line with kinda, like, where the estimates are today.
Nathan Race: Okay. To add a little color to what Ken was talking about with that, Nate, The different models that we've run, I mean, we have data from Lumos on our SBA portfolio as well as Redwood data. That gives us some predictive analytics around what our portfolio might do. We've also done a lot of vintage analysis internally. Because we continue to refine our credit guidelines as we have been growing our portfolios, we made significant changes to our guidelines in the second half of this year. So I would imagine that we're through the 2021, 2022, and even the 2023 vintages, I think, in terms of feeling the most pain. We are currently working through 2024 loans, and likely, we will even have elevated levels of charge offs compared to what we might like to see on the 2025 vintage that were underwritten under the previous guidelines. But then going forward, and that's the twelve to eighteen months that David referenced, we think we're going to be in a much better place once we get through the the earlier vintages, and we're able to work with credits that are underwritten to current guidelines.
Nathan Race: Okay. Understood. That that's really helpful. And I apologize for trying to oversimplify it, but just in terms of net charge off expectations for this year and where you see the reserve ending up relative to the loan growth, target? Just any thoughts in terms of a range there?
Ken Lovik: Well, in terms of, like I mean, we we expect you know, obviously, in we expect the allowance to continue to grow throughout the year. Again, some of it's gonna be driven by specific reserves. Some of it's gonna be driven by loan growth. But, you know, we got you know, right now, we could you know, you know, the the provision or excuse me. The ACL could be up by, you know, by the fourth quarter, you know, be up anywhere from, say, I don't know, call it, somewhere between 20 and $30 million. And I know that's a wide range, but sometimes it's you don't you don't know exactly whether something's gonna be a charge off or you're gonna take a a specific reserve on on on a credit. But that would be kind of the range of growth I'd I'd forecast us to to experience in you know, by year end in the ACL balance.
Nathan Race: Okay. Understood. Apologies for the analyst question there, but I appreciate that. And then maybe just lastly on the tax rate within your expectations for two thirty five to two forty five in EPS this year.
Ken Lovik: Yeah. I think because of the way that we've talked about the provision and if you work through it, and probably one thing that we didn't talk about in the second quarter as we kind of shift to holding more SBA loans in in the second quarter. That really will kinda go into effect in in earnest in the second quarter where we'll probably see a decline in gain on sale revenue there. I mean, the first two quarters of the year is is where earnings are really depressed. So if you think about those two quarters, we have into our models now a tax rate of somewhere, call it, seven to eight and a half percent in the first and second quarter. And then as earnings improve throughout the year, we have that kind of ramping up to like kind of a 10% to 12% in the third and fourth quarter.
Nathan Race: Okay. That's really helpful. I'll step back. Thank you for all the color.
Ken Lovik: Alright. Thank you.
Sylvia: Your next question comes from George Sutton. From Craig Hallum. Please go ahead.
George Sutton: Just wanna walk back to last quarter and we had talked about really pulling some of the challenges forward in terms of loan issues. You did the pro audit. You had implemented the Lumos technology. And I'm not really clear what so I would have anticipated a much cleaner look coming out of this quarter. What changed in this quarter? What were the dynamics that you saw that might have been different than you expected?
Nicole Lorch: I can I can take a quantitative look at or a qualitative look at that, for you? George. In terms of SBA, I think we've been looking at kind of what was right in front of us and the problems that we knew of at the time. And as we have been spending more time with the Lumos data and spending more time with our vintage analysis, analysis, we've gotten a clearer picture not just of what's right in front of us, but also what's what's out on the horizon. I kind of think of it like a bathtub and we knew how much water was in the tub, and and there's a drain. But we also had water flowing in because we continue to originate loans. And so we've had a better capability to measure both the the drain as well as the inflows. So that gives us a better picture. Of of what we're dealing with. And I think we wanna create a really realistic view of things for you. So I think we're we're doing a better job of looking at at what is to come rather than just what's right in front of us.
George Sutton: Understand. On the, the BaaS side, so you saw a pretty material increase in payments quarter over quarter. Where where are we seeing that in the income statement dynamics?
Ken Lovik: That's gonna be in in other noninterest income.
George Sutton: Okay. And other non interest income fell quarter over quarter. So I I just wasn't clear.
Ken Lovik: Yeah. Well, that's what that's if if you if you have our new slide deck. So we revised did not. It grew thirty percent. Sorry. Okay. Quarter over quarter. So that's where we're seeing that impact. And then the Fintech other income is the dollars bringing in for deposits that you've pushed off to third parties. Is that correct?
Ken Lovik: Yeah. Some of that's in there. I think if you in in our in our revised slide deck, we tried to, you know, kinda break out the fintech, a little bit more clearly because fintech hits a couple of different line items. There's program, there's transaction fees, those are going to be another non interest in the other line item on the GAAP finance on income statement. There is the gain on sale we have on the embedded finance loans we originate for JARIS. So that's that's in the gain on sale line item. And then there is kind of a a little about, but it's growing the fee income we make on the on the deposits we push off the balance sheet. So if you look at page 16 of our new slide deck, which has kind of we've kind of simplified or kind of sliced the the noninterest income a different way. You'll see a bar in there for fintech. So you'll see almost $9.9 million. Okay. You got that. So we're we're gonna provide this to give give the analysts more color on on where the fee income what the fee income is coming from our fintech efforts.
George Sutton: Great. Last question for David on just M and A in general as we're starting to see more bank M and A. You know, you're an interesting duck out there and that you're a online platform trading at a pretty significant discount to tangible book. What is your thought process if approached?
David Becker: Well, being honest, I can say we have been approached three or four times here over the last half of last year. We entertain all inquiries. We speak and talk. We've had a couple international organizations are wanting to put hold here in The United States that are interested in us. We found some folks that have some fintech issues in their world and BSA AML that need to get cleaned up and operational and they love what we're doing. So we're chatting with a lot of people, George. It's probably the most activity. We've seen more activity in the last months than we have the last five years put together. So we'll entertain and talk to anybody. We've not got anything remotely close at this point, but we're talking on on both sides, looking at opportunities from our side and some specialty lending programs and services as well as institutions looking at us.
George Sutton: Alright. I appreciate the clarity of the response. Thanks, guys.
David Becker: Thank you.
George Sutton: George.
Sylvia: Your next question comes from Emily Lee from KBW. Please go ahead. Hi, everyone. This is Emily stepping in for Tim Switzer. For taking my question.
Emily Lee: Hi. So going back to just the fintech and BaaS pipeline, I was wondering what the impact earnings been so far and how much of deposit growth is driven by the current customers versus, new onboarding on the fintech platform.
Ken Lovik: On on the deposit side, the vast majority is driven by fintechs that we've we've been working with now for a few years. Right? RAM, that's the biggest piece. That's that's the biggest source of deposits for us. We have two programs for them of business savings. And a bill pay product, which is really more of a payments engine. And then we have deposits with our our platform partner, Increase, with their program. And we've been, you know, we we've been doing these deposit providing, you know, deposit services for for both of these for, you know, a couple years now. Right? The but we have seen during 2025, we did see what I would call explosive growth in them. Right? When they rolled out, they rolled out as pilots and there was there was, you know, some modest growth there. But but we've seen a we we've seen quite a bit of growth over the past twelve months predominantly in the ramp program and, to a lesser extent, an increase. And then really, with all of our fintech you know, partners, we do have varying degree you know, varying amounts of deposits, some ranging from you know, $8,090,000,000 down to 2 or $3,000,000. But the the the bulk of it are are from the the from from ramp and from increase.
Nicole Lorch: We have been, Emily, we've been deliberately in bringing aboard new programs over the last couple of years, and we've had terrific growth from our existing programs. So we've been able to grow the the program and even add new programs with existing partners, which has been a great way to extend existing relationships. So it hasn't necessarily been necessary for us to grow out and attract new relationships. That said, we're getting calls all the time, and we have a great pipeline of new opportunities. But we are looking for programs that we think offer something special. We're really excited to bring pool money live in the next couple of days. They've been growing their wait list. It offers a chance to offer a group deposit account, and so we're excited to work with pool. We think that they will be a good program for us to work alongside. So we will continue to add new opportunities, but it hasn't been something that we've necessarily had to be adding dozens of new programs because our existing partners have been so successful.
Ken Lovik: Yeah. And to come back to the I'm sorry. I was I was gonna just answer your revenue question. So we have if you look at the the chart on the that we have in the deck on fintech revenue, you'll see that on a quarterly basis throughout the year, it's gone up quite a bit. But when you add in interest income that we make from lending efforts with our partnership with Jaris, we had about $6.7 million of gross revenue from that that was up you know, that was up more than double over last year. So the fintech effort is is is producing results in terms of increased revenue, you know, year over year, both between the between non income and and the interest income line items.
Emily Lee: Great. It's Altam here. Thanks for taking my question.
Ken Lovik: Of course. Thank you.
Sylvia: We have a follow-up question from Nathan Race from Piper Sandler. Please go ahead.
Nathan Race: Yeah. Thanks for taking the follow-up. Just going back to the balance sheet growth expectations, particularly appreciate the 5% to 17% loan growth guidance. Is the expectation that, you know, deposit growth is largely gonna follow and fund that? Or just trying to think about some of the dynamics to fund that pretty strong loan growth outlook.
Ken Lovik: Yeah. Well, some a combination. Right? So we're we're we're modeling, you know, right now, we'll call it somewhere between 810%. Loan, excuse me, deposit growth there. Obviously, we're, you know, we're I wouldn't say we ended the year with a huge amount of excess cash, but there were cash balances that we were know, higher than we'd like to be carrying. So some of it is just deploying cash on the balance sheet. And then some of it is just you I'll call it, like, securities cash flows. Funding that as well. So between the between the three of those, it's just kinda going from different parts of the of the asset side into into into the loan side.
David Becker: Part of the plane? Nate. Our our loan to deposit ratio is probably at an all time low for us. In in our history. So it's Ken said we've got a lot of flexibility to move some stuff around there. And what's off balance sheet is primarily the BaaS fintech deposits at a cost to us of about 150 basis points. If we putting it back out the door, particularly, we pick up some of the SBA loans, about 20% of our new originations that are prime plus one and a half, we're gonna fund that at max with those vast deposits. If we run out of cash on the balance sheet, we just pull that back in. So we've got a great spread in there, probably one of the best we've had in the history of the bank. So from a deposit cost as well as loan origination opportunities, we're kinda at all time low on the deposits and all time high on loan origination. So we got an awful, awful lot of flexibility built in over the next twelve months.
Nicole Lorch: And I would be remiss if I didn't remind everyone that we have an award-winning small business checking account. We won the best in biz award this last quarter. And we're improving our win rate as we're going out and talking to SBA borrowers about the opportunity to grow the full relationship with First Internet Bank. So I want to thank our team for the effort that they've put in there to work collaboratively, and we continue to add features to that product, including Zelle for business so they can make business payment kind of business to business or even business to consumer payments. So it's it's been exciting to watch that program grow.
Nathan Race: Yep. I noticed that. Congratulations on that. Well deserved. And then, Ken, just any thoughts on the starting point for the margin in the first quarter? I appreciate the guide getting up to two seventy five to two eighty by the end of this year, but just any thoughts on the first quarter?
Ken Lovik: Yeah. The way that I think about the margin throughout the year is it's probably call it, 10% to 15 basis points of expansion per quarter. With probably a little bit more in the first quarter pursuant to my comments about the, you know, kinda getting a full quarter's run rate of two Fed rate cuts in there?
Nathan Race: Mhmm. Okay. Gotcha. And just as I'm going through that, it appears that you guys would be unprofitable based on the guidance in the first quarter. Is that accurate?
Ken Lovik: No. No.
Nathan Race: Okay. I'll have to follow-up offline.
Ken Lovik: With you, Kenneth. That's alright. Thanks. Yeah. That's fine. No. I mean, in Nate, in the first quarter, we still we expect we still expect to have a a fair a a decent level of noninterest income because we do have you know, we we still have a pretty healthy balance of loans held for sale on the balance sheet. So we still have a lot of SBA loans to sell before we kind of start retaining more balances. That's probably gonna be more of, like, I think I said earlier, more of a second quarter impact. So I think the the the the noninterest income line item for the first quarter should be kind of in line where we've kind of been historically in the first quarter in the past.
Nicole Lorch: Boring a government shutdown.
Ken Lovik: That's gonna bring up. Yeah. That's right. I forgot about that.
David Becker: Yep. Good point, Heather.
Nathan Race: Yeah. I'll leave it there. Thank you.
Ken Lovik: Thank you.
Sylvia: There are no further questions at this time. Will now turn the call over to David Becker for closing remarks.
David Becker: Thank you much, guys. We appreciate all your time this evening and the great questions. I hope you if you have any feedback, we obviously changed up the deck significantly, kinda did a refresh on that and and trying to give you a little more detail. And insight as to where we're going and what we're doing. Please reach out to Ken, Nicole, or myself or all of us we're happy to go through that with you. And we do appreciate the adjustment on the time frame that made it a much easier pull together for us with all the year end issues coming around, and we'll continue this going forward. Hopefully, we will see some of you next week at either bank directors conference and some of our investors at the Janney conference, which follows on. So thank you very much for your time, and we're kicking off, I think, a great 2026. We appreciate it. Thank you.
Sylvia: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.